Operator: Good day, and welcome to the Energy Transfer Q2 2024 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Tom Long, Co-CEO. Please go ahead sir.
Tom Long: Thank you, operator, and good afternoon, everyone. And welcome to the Energy Transfer's second quarter 2024 earnings call. I'm also joined today by Mackie McCrea and other members of the senior management team who are here to help answer your questions after our prepared remarks. Hopefully, you saw the press release we issued earlier this afternoon. As a reminder, our earnings release contains a thorough MD&A that goes through the segment results in detail and we encourage everyone to look at the release as well as the slides posted to our website to gain a full understanding of the quarter and our growth opportunities. As a reminder, we will be making forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934. These statements are based upon our current beliefs, as well as certain assumptions and information currently available to us and are discussed in more details on our Form 10-Q for the quarter ended June 30, 2024, which we expect to file tomorrow August the 8th. I'll also refer to adjusted EBITDA and distributable cash flow or DCF, both of which are non-GAAP financial measures. You will find a reconciliation of our non-GAAP measures on our website. I'll start today by going over our financial results, for the second quarter of 2024, we generated adjusted EBITDA of $3.76 billion, compared to $3.1 million for the second quarter of 2023. This number includes over $80 million of transaction expense. Absent these transaction cost, adjusted EBITDA would have been over $3.8 billion. We had record volumes through our crude oil and NGL pipelines, as well as record NGL exports. We also saw strong performance from our NGL fractionators and our refined products pipelines and terminals. DCF a trivial to the partners of Energy Transfer as adjusted was $2 billion compared to $1.6 billion for the second quarter of 2023. And for the six months of 2024, we spent approximately $1 billion on organic growth capital, primarily in the midstream and NGL and Refined Products segments, excluding SUN and USA compression CapEx. Now turning to our results by segment for the second quarter and let's start with NGL and Refined Products. Adjusted EBITDA was $1.07 billion, compared to $837 million for the second quarter of 2023. The increase was primarily due to growth across our transportation, fractionation and terminal operations including records in both Mariner East and Permian Pipeline volumes, as well as NGL exports. In addition, we had higher gains from the optimization of hedged NGL inventory. For Midstream, adjusted EBITDA was $693 million, compared to $579 million for the second quarter of 2023. The increase was primarily due to the addition of the Crestwood assets as well as higher volumes in the Permian Basin. For our Crude Oil segment, adjusted EBITDA was $801 million compared to $674 million for the second quarter of 2023. The increase was primarily due to record crude oil transportation throughput. And increase in our total crude oil exports, which were up 11% as well as the acquisitions of the Lotus and Crestwood assets in May and November of 2023 respectively. Excluding these acquisitions, adjusted EBITDA and Crude Oil transportation volumes on our base business increased 4% and 8% respectively. In our Interstate segment, adjusted EBA was $392 million compared to $441 million the second quarter of 2023. During the quarter, we saw higher contracted volumes on Trunk Line, Pebble, Gulf Run & MRT. This was offset by lower operational gas sales, maintenance project cost of $12 million, as well as a $35 million reduction in revenue for shipper refunds related to our Pebble rate case. For the Intrastate segment, adjusted EBITDA was $328 million, compared to $216 million in the second quarter of last year. The increase was primarily due to approximately $75 million of an increased gains related to pipeline optimization opportunities, as well as favorable storage optimization opportunities. In July 2024, Energy Transfer completed the acquisition of WTG, which provides Energy Transfer with increased access to growing supplies of natural gas and NGL volumes and enhances our Permian operations and downstream businesses. Integration of the combined assets is underway and we are really excited about great customer base and the growing gas supply behind this asset. Since closing the transaction, the $200 million cubic foot per day Red Lake 3 processing plant was placed into service. We expect volumes to ramp up quickly as more residue takeaway becomes available. Also in July 2024. Energy Transfer and Sunoco LP announced the formation of joint venture combining the respective crude oil and produced water gathering assets in the Permian Basin. This is another exciting opportunity that highlights the creativity and optionality our family of partnerships brings to the table when we work together to expand our market and service offerings for our customers. Now turning to our growth projects and starting with our Nederland and Marcus Hook export terminals. Construction of the expansions to our NGL export capacity at Nederland continues to progress and we remain on schedule for anticipated in service in Mid-2025 for the initial phases of the project. And at our Marcus Hook terminal, construction continues to rest[Ph] on the first phase of an optimization project. Turning to Lone Star Express, our 90,000 barrels per day expansion project remains on schedule to be in service in 2026 bringing our total capacity of NGL transportation to over 1 million barrels per day out of the Permian Basin. We recently approved our ninth fractionator at Mont Belvieu, frac 9 will have a design capacity of 165,000 barrels per day and is expected to be in service in Q4 of 2026. This will bring our total fractionation capacity at Mont Belvieu to more than 1.3 million barrels per day. In addition, we recently placed a previously unutilized 2 million barrels butane storage well back into service, bringing our current NGL storage capacity of Mont Belvieu to approximately 62 million barrels. Now taking a look at our Permian processing expansions. Construction continues on upgrades to our existing processing facilities, which will add approximately 200 million cubic feet per day of processing capacity in West Texas and in June we announced plans to construct the 200 million cubic feet per day Badger processing plant in the Permian Basin. This plant which is expected to be in service in Mid 2025 will utilize an idle plant that is to be relocated to the Delaware Basin, which will help save capital versus building a new plant. In North Louisiana, we placed trains one and two of our Ajax treating facility into service in July. These trains have a combined treating capacity of approximately 300 million cubic feet per day. Now for a brief update on our opportunities around Pap generation with forecast for electricity demand growth becoming increasingly bullish and the need for grid reliability becoming progressively more important, it is clear that natural gas will play a significant role in helping meet this demand. Given Energy Transfer’s extensive Interstate and Intrastate natural gas pipeline footprint, we believe we are extremely well positioned to benefit from the anticipated rise in natural gas needs. We currently serve gas fired power plants in 15 States with approximately 185 plants served via direct or indirect connections throughout these states and we have recently signed deals across our systems to provide gas loads of over 500,000 MMBtus per day. In addition, as mentioned last quarter, we have approved the construction of eight 10 megawatt natural gas fired electric generation facilities to support the Partnership’s operations in Texas. We continue to expect these facilities to go into service throughout 2025 and 2026. These facilities are expected to increase system reliability for Energy Transfer and for our customers. We also continue to make progress on the development of several other growth projects including our Warrior, Blue Marlin offshore project, Lake Charles LNG, a carbon capture and sequestration project with capture point and blue ammonia hubs at Lake Charles and Nederland. We look forward to providing more updates on these projects as customer discussions advance and we bring them closer to FID. Looking ahead at our 2024 organic growth capital guidance, we now expect 2024 growth capital expenditures to be approximately $3.1 billion, which will be spent primarily in the NGL and refined products and Midstream segments. The primary driver of the increases from our previous guidance of $2.9 billion is the addition of growth capital related to WTG and quicker returning projects in the Crude Oil segment related to the Crestwood acquisition. Now turning to our adjusted EBITDA guidance. We are raising our 2024 adjusted EBITDA guidance to be between $15.3 billion to $15.5 billion, compared to our prior guidance range of $15 billion to $15.3 billion. Our 2024 guidance has been updated to include our acquisition of WTG, which closed on July 15th and outperformance in the base business even with over $100 million transaction cost also included within our full year guidance. We continue to be excited about our business and the demand for our products and services both domestically and internationally. We're in a strong position to help meet this demand with strategic optimization and expansion projects that enhance our existing asset base and generate attractive returns. And we expect to maintain the flexibility to balance organic growth opportunities with further leverage reduction maintaining our targeted distribution growth rates and increasing equity returns to our unit holders. In addition, we are pleased to see that in June, Moody's upgraded our senior unsecured credit rating to be double A 2, which further demonstrates the strides that we have made to strengthen our balance sheet and financial position This concludes our prepared remarks. Operator, please open the line up for our first question.
Operator: [Operator Instructions] And the first question comes from the line of Jeremy Tonet with JPMorgan.
Jeremy Tonet : Hi, good afternoon.
Tom Long: Good afternoon, Jeremy.
Jeremy Tonet : Just wanted to start off if I could, appreciate the color on the call, but as it relates to WTG with a month in the books, I was just wondering if you could talk a bit more I guess, and what you see as far as the commercial opportunities there and similarly, with the JV with SUN and NuStar just wondering what new opportunities that you see in front of you post these deals?
Mackie McCrea: Hey Jeremy, this is Mackey. I’ll start with the first one. We're very excited about WTG. Excuse me. As you just said, we're barely almost a month into it. We still have a lot of rocks to turnover but we couldn’t be more excited not only just the asset itself and it’s very credit worthy producers that are supporting that long-term large acreage dedications and all that discuss and support the cryos. But what’s even more exciting to us that we don’t even put in our numbers when we do acquisitions like this to had kind of really feed into our residue business, our downstream residue business as well as Lone Star NGL transport and fractionation business. So we're just getting our arms around it. We're very excited about, there's enormous growth in that part of the Midland Basin that we have had little exposure to on the gas side. So we're very excited and looking forward to a lot of good things coming out of that acquisition. With NuStar, we’re excited about that too. Joe Kim has done an incredible job growing Sunoco. They’ve kind of been in different areas and they're evolving kind of entire areas. The pipeline side and we welcome we have a really good partnership with them right now and JC Nolan that’s got really - what’s gone really well moving diesel from the Gulf Coast to West Texas. We've got some deals with them up in the Northeast on transporting our refined products and a lot of stuff going on. With the great partners we look very much forward to what we're going to do with them and that JV. Once again, new news, we're getting our arms around that. But the bottom-line is that's going to be a lot better for both our partnerships than just one-on-one it's going to be a lot add up to a lot more than three or four on what we're already seeing provide a lot of benefits to the producers out there as we team up, but also a lot of downstream value for both our partnerships. So we're excited about to both of them.
Jeremy Tonet : Got it. That’s very helpful. Thank you and just want to pivot to the Permian itself, if I could, curious how you guys see the egress situation right now across the three different hydrocarbon chains and the need for incremental takeaway, do you still see more discussion with Warrior at this point? And how do you think about the Crude Oil takeaway side as well?
Mackie McCrea: Okay, I'll tell you about – I’ll start with the Crude Oil. We don't see a lot with Crude Oil. We do see there need to be quite a bit more growth to fill up what's there? We're probably a year or two away from any concerns around that at least from our business standpoint, but we'll certainly keep an eye on that. But on Warrior, yeah, we've had some questions both internally but mainly externally about what does the announcement going to [Indiscernible] do at Warrior. I’ll just summarize that as zero. The vast majority of the customers that we've already signed up and that we're pressing the sign of over the next 60 to 90 days have no desire for either the their gas to be in South Texas or the markets that are supporting this project. So by no means is that slowing us down. We're very and I know we've talked about this quarter after quarter, but it has picked up steam. There is a tremendous market east not south but east heading through Texas and other parts of the country really. And so we're very excited about where we sit on Warrior and I'll just say that I'll be disappointed certainly am implying that we're almost FID but I'll be disappointed if we're not announcing FID by our next earnings call. We are working hard and we'll see if we can get there. If we do announce that it will be fully sold out. We are not going to take any risk on overbuilding out of that basin but there is still a lot of gas and oil growth for many years to come out of that basin in our opinion. And then a last one, we mentioned all three, but NGLs we never worry about what others are doing around NGLs. We will build the necessary pipelines to move NGLs out of that area to meet the contracts we have with our customers.
Jeremy Tonet : Got it. That's very helpful. Thank you for that.
Mackie McCrea: Okay.
Operator: Thank you. And the next question comes from John Mackay with Goldman Sachs.
John Mackay: Hey, good morning, good afternoon. Thanks for the time. I wanted to and you touched on a couple of these drivers, but maybe just a little more on the underlying business performance for the guidance update. Maybe just a little more color there and kind of how that looks for the back half of the year?
Tom Long: Yeah John, this is, Tom. I’ll start and then Mackie can add more on. As we said in the prepared to march with feel very good about the base business and that's the reason why we've were able to bring it up in addition to the acquisitions, not just the WTG. So. When you really look at it, I think the optimization group, a lot of the stuff we've been able to do, we just continue to be able to see additional benefits as we look out over the year. But no, it was great to be able to continue to walk the guidance up for the year, even in this commodity environment because as you know we get a lot of extra pop, when natural gas prices are up - higher et cetera, but even with that we're able to continue to extract good value out of the optimization group, so.
John Mackay: And then if we’re - thanks for that. If we're looking at the CapEx side, obviously talking about WTG as a bit of a new growth platform to your point on the Midland side. Maybe if you could just frame up kind of how you're thinking about you're broader CapEx look at CapEx look over the next couple years now the footprint is bigger, now that you’ve kind of pulled into some of the NuStar assets as well. How that should trend versus your two to three you’ve talked about in the past?
Tom Long: That’s actually a very, very good question As you know, we just now closed on these some of these transactions and we are working through it right now. So, we'll - as usual we'll come out with our 2025 guidance whenever we get to the fourth quarter earnings release and at that time, we will have able to scrub kind of the normal runrate, but you absolutely nailed it. With our growth and our scale our size and with everything we're doing, let us scrub that a little bit more. So we won't just do give you the 2025 number. We will also kind of give you that ongoing runrate. But as of right now, we've always had that $2 billion to $3 billion. It if anything it'll be it'll be probably at that $3 billion. But let us let us do some more work on that before you give any official long-term runrate.
John Mackay: Okay. That makes sense. Appreciate the time. Thank you.
Tom Long: Yeah. Thank you.
Operator: Thank you. The next question comes with Keith Stanley with Wolf Research.
Keith Stanley: Hi, good afternoon. First just wanted to ask on M&A. Most of your recent deals including WTG and then buying G&P businesses and leveraging the NGLs. Is that still the main focus for future M&A? Or could you broaden it out? And then, with the with the JV with SUN could that that partnership potentially play a role in M&A or is the JV exclusively about optimizing the existing assets?
Mackie McCrea: Yeah, I will start with the end of that question, yeah right now the way that is structured the JV in the Midland basin is not to go out and acquire it. That’s not to say that if there is some gathering assets or other assets in that area that fall kind of within that AMI that we wouldn't approach that together and that’s certainly in our agreement with them. But right now, the main focus is really developing out those systems together and achieve as much of the upside that we can't downstream of that partnership with our other businesses and further downstream revenues.
Tom Long: Yeah, and listen, I'll chime in here. This is Tom kind of the first part of your question just in general where we focus. First off, we still felt like consolidation is going to occur in the Midstream similar to what is happening in the Midstream and when you see how diversified we are across all the commodities and we go all the way from the wellhead to the water to our export facilities. We're looking really pretty much across the board. We wouldn't want to dial into any specific area, but the way you ask the question was actually very good, just like what Mackie said on the WTG. We are able to extract a lot of benefits downstream. When we, let's say get into the gathering and processing and it's across all the commodities. It's not tied to any one commodity. So, we think that we still have a lot of opportunities there and we're going to continue to evaluate those opportunities.
Keith Stanley: Thanks for that. Second question with HH moving to NGL service out of the Bakken has that impacted discussions on recontracting Dakota access at all? How are you thinking about recontracting on Dakota access in terms of the timing and terms you're looking for?
Mackie McCrea: Yeah, Keith, this Mackie. Not that hadn't released spurred any new thoughts around that. I guess, I’d summarize where we're at. We are kind of the pipeline of choice out of their as we move more than 50% of the barrels out of the Bakken. We do have the ability to move significantly more if there's any growth and it's already done our appealing if there's going to be 60,000 to 80,000 barrels, that was leaving the basin now, we will be looking for another way out because we think we will continue to move the majority of the barrels out of that region. But we do think that we will end up and sooner than later, growing or extending some of the agreements that we have but we really don't have a lot of angst or concern of the reasons I just said. We offer more flexibility by going to the Mid-Continent refineries and of course all the way down to the Gulf Coast to the Beaumont, Houston area, as well as [Indiscernible] Bridge. So we just its unparalleled with the flexibility and the optionality that we're giving for producers. So we sit in very good position and we’re very confident that we will keep Dakota access full at healthy spreads for many years.
Keith Stanley: Thank you.
Operator: Thank you. And the next question comes from Theresa Chen with Barclays.
Theresa Chen: Good afternoon. Going back. To the comments related to downstream synergies following the formation of the Permian JV with SUN. Can you talk about what timeframe the long haul pipeline commitments rollover from the legacy NuStar gathering system for the barrels that are not already on your long haul system?
Mackie McCrea: Yeah, Theresa, this is Mackie again. No most of the business that NuStar had now Sunoco in our JV is just gathering. So it's gathering that basin and it's delivered to pipelines like Energy Transfer or other competing pipelines in the area. So that JV is a large area of the AMI that encompasses Energy Transfer old gathering business in the Permian Basin. But does not include any of the downstream pipelines for example that go to Nederland or up to Cushing. So that’s we're going to work very closely with NuStars I mean, sorry with Sunoco go as part of that JV but that just confined in the gathering part of that business
Theresa Chen: Right, I meant to ask were the barrels that are not committed onto Permian Express, when can you roll them on to Permian Express over the next few years?
Mackie McCrea: I’d answer it like this is that, we're probably gathering 1.5 million barrels and we can move less than that out of it. So we don't have any necessarily dedicated barrels from any particular area other than shippers that taken space on our pipeline systems. So, right now, really couldn't say what exact molecules will come from this JV may feed into our downstream business. We kind of take it as a whole. Also, there's different qualities of oil, whether it's WTL or WTI to come involve. So there is a lot more kind of thought process going into this, but yeah at the end of the day, certainly this JV the business of gathering will continue to feed our downstream business both to Nederland to our Houston terminal, as well as one day hopefully to our Blue Marlin project.
Theresa Chen: Got it. And can you just provide us some incremental detail on the marketing strengths in the NGLs and Refined Products segment this quarter? What drove that and how much of that is repeatable?
Unidentified Company Representative: Yes Theresa, hi this is this is Dylan[Ph]. So that that NGL marketing line items a lot of activities go into that. Various optimization in the Gulf Coast and the northeast. Over the last quarter, where we really saw the great performance is from the Gulf Coast NGL group. It had a really strong quarter. And it's really comparing back to the second quarter last year when we did have an LCM right down on hedged inventory. And additionally, that we also had some strong margins from both the butane and gasoline blending businesses in the northeast.
Theresa Chen: Thank you.
Operator: Thank you. And the next question comes from Spiro Dounis with Citi.
Spiro Dounis: Thanks everyone. Afternoon team. First question actually wanted to ask you guys about your global growth ambitions. I know in the past you've talked about an NGL Panama pipeline. And recently your name is sort of mentioned alongside another South American oil and gas project. And so I respect the amount of able to talk about projects specifics, but just curious do you have ambitions to grow on a global level and is that’s something that you do under the MLP structure?
Tom Long: Yes, this is Tom. That's the quick answer. We think it's the right thing to do for our partnership here. It makes a lot of sense with all that we've built out across all the commodities. So we continue to evaluate it – evaluate various opportunities when you look across the globe. I will tell you that we will always be very careful with any risk. As we look at these, we'll make sure they're good fits for us that we can bring a lot of value. But we're well aware of the risk - country risk et cetera that come along with each of these. And it's but we once again think that we've got the right team to be able to extract value when you look out globally. But we will – like I said it'll be credit risk, country risk, et cetera. And when you get involved with some of the - some of these various companies that are in these other countries, you can do a lot of stuff with them globally when you look at it. So we will continue at least to evaluate but be very thorough in our evaluation
Spiro Dounis: Got it. Helpful, Tom. And maybe to switch gears back domestically. This power demand or powergen demand piece just kind of really snuck up on a lot of the market here and it sounds like you all have a few irons in the fire even on the datacenter side. So, just curious you get frame for us how you're thinking about the timing of when some of these projects starts to show up in earnings? And maybe as we think about the scope and size are we talking about Greenfield expansions here Brownfield? Just help us understand the opportunity in front of you.
Mackie McCrea: Yeah, this is Mackie and I'm actually not going to answer your question at first, because I do want to make a statement. I thought about this and we're preparing Bill Bergen's team did a great job of summarizing some of our competitors and their earnings call and how they did and I find it interesting think back about it. We’ve got competitors talk about the whole business, which is the vast majority of what they do. And they talk about their NGL and oil business which is the vast majority, there they're all natural gas and what a blessing and how fortunate we are as a partnership with such great employees running this business. And the breadth of our pipeline system, our terminal our storage throughout the US. I mean, we're so well positioned to meet the demand growth across the board for natural gas and other commodities. So we feel very fortunate and we're going to take advantage of that. So in answering to your question we keep talking here about transition for years in the last four years transitioned well. I guess, everybody's kind of seeing the truth. The transition is, we're about to transition into untold demand for natural gas. And for that case also natural gas liquid did internationally. So, as I just mentioned, nobody is better positioned for us other than Eastern Seaboard. If you look at our pipeline Intrastate Interstate network you look at it what I just we have over 233 BCF of storage along all of our systems to really meet the demands. We're situated very well to meet all the uphand demand. You mentioned datacenters. Yes, we're in four five different states in discussions with multiple datacenters of different sizes. Some of them or many of them want to put generation on site and wanting as much as two or three hundred thousand CEP for each one. So it’s an enormous opportunity for us. As I mentioned, we're very advantaged at many of the areas to capture a lot of this business, as well as for the power plant demand for natural gas. We see that going up astronomically we think we could increase the demand here for electricity over the next six to eight years, about 30,000 or 40,000 megawatts at least. Here just in Texas and that go to other states similar type needs. Once again, we are very well positioned and then you add on to that, I mean, we've got population growth in Florida, in Texas, Bahamas all these gas utilities that will be feeding. And we want our business you've got Blue Mont just what we're working with Long with a handful of folks. If it comes to fruition, the majority of that, we're looking at between one and two BCF of natural gas deliveries at our terminals close to our terminals for blue ammonia, and then you throw in crypto and on and on, So yeah, we're very bullish. I know that longwinded answer to your question, but we couldn't be more excited about transferred I mean natural gas demand growth and how we're going to be able to take advantage of that with our broad system.
Spiro Dounis: That's great color, Mackie. I'll leave it there. Thanks so much.
Operator: Thank you. And the next question comes from Michael Blum of Wells Fargo.
Michael Blum: Thanks. Good afternoon everyone. I want to go back to Kinder Morgan's double H conversion announcement. Wondering if you could possibly participate in this project in any way either, offshoring or Downstream of double H, and if you could remind us on the contract terms of the NGL balance you have from the Crestwood acquisition?
Mackie McCrea: Yeah, that's a good. Question, Michael because that's really where we see a couple of benefits. But one of them is we are chasing a couple of pretty big deals and we've got available capacity that’s already sitting and waiting for us, the processing capacity with the Crestwood asset we do intend to fill that and now there's competition. Now when you have a monopoly it's hard to get a good net back price for your producer for your business and that’s changing. So we're excited and intrigued that that Kinder is doing this. It's kind of something more like we do. So we love that and like I said, it's not going to hurt our feelings at the maybe sixty to eighty thousand more barrels looking for a home on our Dakota access. Now, downstream, we certainly are in discussions and we love and feel like we probably will see some of those barrels at a minimum at our frac, but we're just in early discussions and certainly see that as a another potential upside for what Kinder is doing. But mainly we like what's going on up the Basin of what it will do for our own assets up there.
Michael Blum: Okay. Perfect thanks for that. And then, just wanted to get your latest thoughts on what's happening in the Haynesville, North of Louisiana. Obviously has been the legal challenges some of that sort of now transpired. So just wanted to get your latest thoughts there.
Mackie McCrea: Okay, yeah, Marcellus, Utica and Haynesville, tough areas over the last quarter. A lot of lean gas, lot of drilling slowing down even some shut-ins so we've seen those two basins in Haynesville especially come off what 2 to 2.5 BCF just into the end of last year. We are seeing it start to recover as prices start to recover. The enormous reserves in North Louisiana we have multiple 42 inches pipes running through North Louisiana actually three. We got a Gulf run extension to the South. We have the ability to increase the capacity on that relatively easy. And we're - we've got a lot of potential to grow there and so does the industry when you're talking about the issues in Louisiana, I'll touch on those real quick. We are in a lawsuit with one company, but from a high level there were three companies that were looking for I think it was 150, 160 crossing of our pipelines and we deal with this every day. Whether it's other top-line companies or utility companies, or electric companies or whatever, it's a normal part of our business. But what happened was with two of these pipeline companies we needed technical data. We need to work with them on where they cross and how they are going to impact their or router way, our first router way, how they maybe going to adversely possibly affect our safety, our employees. So it's important to us to have answers to our questions like we always ask and get and two of the pipelines work with us. We have one pipeline that has rejected or refused to provide that technical data and all we're doing is protecting our rights and we’ll continue to – as a partnership and we'll see kind of how all that plays out.
Michael Blum: Got it. Thank you.
Operator: Thank you. And this concludes our question and answer session. I would like to return the floor to Tom Long for any closing comments.
Tom Long: All right, we definitely appreciate you all joining us. I do want to add one more comment here at the end. We do get a lot of inbound. I'm going to go back to the global question a little bit here. We have a lot of hard assets second to none across this country, but another significant asset we just – we mentioned occasionally, but can't ever mention - emphasize enough is the team and human resource side of the team. This, all the inbounds that we get globally is a huge, huge complement to the second to none team that we have. Operations team BD team. I think it's recognized globally and that's the reason a lot of inbounds do come to us. And we take it as, like I said, a massive complement that our name is used out there a lot. But, anyway one I wanted to make sure I got that in. But thank all of you – all for joining us and we look forward to talking with all of you with any follow-up questions Thanks.
Operator: Thank you. The conference is now concluded. Thank you for attending today's presentation. You may now disconnect your lines.